Operator: Good morning, and welcome to the PPL Corporation First Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Joe Bergstein. Please go ahead.
Joseph P. Bergstein - PPL Corp.: Thank you. Good morning, everyone. Thank you for joining the PPL conference call on first quarter results as well as our general business outlook. We're providing slides of this presentation on our website at www.pplweb.com. Any statements made in this presentation about future operating results or other future events are forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from such forward-looking statements. A discussion of factors that could cause actual results or events to differ is contained in the Appendix to this presentation and in the company's SEC filings. We will refer to earnings from ongoing operations or ongoing earnings, a non-GAAP measure, on this call. For reconciliations to the GAAP measure, you should refer to the press release, which has been posted on our website and has been furnished with the SEC. At this time, I would like to turn the call over to Bill Spence, PPL Chairman, President and CEO.
William H. Spence - PPL Corp.: Thank you, Joe. Good morning, everyone. We're pleased that you've joined us this morning. With me on the call today are Vince Sorgi, PPL's Chief Financial Officer, and the presidents of our U.S. and UK utility businesses. Moving to slide 2, our agenda this morning starts with an overview of our first quarter 2017 earnings results, a discussion of our 2017 earnings forecast and a brief operational overview. Following my remarks, Robert Symons, Chief Executive of our Western Power Distribution subsidiary, will provide an update on our UK incentive performance. Vince will then review our segment results and provide a more detailed financial review, then we will take your questions. Turning to slide 3, today, we announced first quarter 2017 reported earnings of $0.59 per share compared with $0.71 per share from our first quarter 2016 results. Adjusting for special items, first quarter 2017 earnings from ongoing operations were $0.62 per share compared with $0.67 per share a year ago. This reduction in earnings was driven primarily by lower foreign currency exchange rates as expected, partially offset by an April 1, 2016 price increase in the UK. An unusually mild winter in Kentucky also negatively impacted earnings. The State of Kentucky, in fact, experienced its warmest February on record. I'm pleased with our first quarter results and despite the abnormally warm winter, we are off to a strong start to the year and remain confident in our ability to deliver on our 2017 earnings guidance. Let's move to slide 4, which highlights our 2017 ongoing earnings forecast. Today, we are reaffirming our 2017 forecast of earnings from ongoing operations of $2.05 to $2.25 per share, with a midpoint of $2.15 per share. Looking beyond 2017, we remain confident in our ability to deliver overall compound annual EPS growth of 5% to 6% from 2017 through 2020. As we have highlighted on the year-end call, we expect 4% to 6% compound annual growth in our U.S. utilities from 2017 through 2020 and 6% to 8% growth in the UK. The drivers of this growth are summarized in the appendix on slide 21 and are consistent with the growth drivers discussed on the year-end call. We have significantly reduced our exposure to foreign currency exchange rates through our ongoing hedging program, as we've increased our hedge levels even further during the first quarter. While the British Government formally began its exit from the European Union, we are well-positioned to deliver our long-term growth even if exchange rates were to fall well below today's current levels. However, the pound to dollar exchange rate has been very stable since the UK officially began the Brexit process on March 29. In fact, the exchange rate has actually strengthened some, with current rates around $1.29 per pound. Vince will provide you with an update to our hedge status during his remarks. But I will highlight now that with the additional hedging we did since year-end, we can achieve at least the low end of our 5% to 6% compound annual EPS growth range even if the pound falls to $1.05. Delivering on our commitments really comes down to execution, and that is something that we have demonstrated over the years, which is a clear strength for PPL. As we've discussed in the past, we have a very straightforward business plan, which we believe is low risk. And as noted on the slide, we continue to target annual dividend growth of about 4% a year from 2017 through 2020, having delivered on that commitment earlier this year by increasing the annualized dividend in February from $1.52 per share to $1.58 per share. Overall, we continue to maintain one of the strongest dividend yields in our sector while maintaining our investment-grade credit metrics. Now, let's move to slide 5 for an update on our utility operations. In Kentucky, our rate review before the Kentucky Public Service Commission continues to move forward as we reached settlement agreements in April with all the parties involved. The settlements are subject to approval by the Kentucky Commission. If approved, it will result in a total annual revenue increase of $122 million for our Kentucky utilities. The settlement also includes other adjustments that relate to the timing of cost recovery such as depreciation rates. The settlements provide for the ability to invest in intelligent control equipment that will enhance reliability and enable faster restoration of service. It also will give Louisville Gas and Electric the ability to improve natural gas safety and reliability by replacing the aging natural gas steel service lines with new plastic lines that run from the street to our customers' homes. As part of the proposed agreement, the companies have agreed to withdraw the current request for a full deployment of advanced meters, and we will establish a collaborative with the interested parties to address issues raised with that proposal. This will result in the removal or deferral of just over $300 million in total capital expenditures from the 2017 through 2019 capital plan. The settlement proposal includes an authorized 9.75% return on equity using our filed capital structure. The agreement gives us the ability to enhance our reliability and continue providing safe and reliable service to our customers. A public hearing on the rate review is scheduled to begin on May 9. And order in the case from the Kentucky Public Service Commission is still expected on or around June 30, with new rates going into effect on July 1 of this year. In Pennsylvania, PPL reached a new five-year labor agreement with the International Brotherhood of Electrical Workers Local 1600. The agreement ratified by bargaining unit members in March will take effect May 22. It continues our long-standing practice of providing competitive wages and benefits for our employees. We believe it is also in the best interest of PPL shareowners and our customers. In the UK, as I mentioned earlier, Article 50 was invoked on March 29, which formally began the process of the UK exiting the European Union. That process is expected to take up to two years to complete. As we've discussed in the past, we expect no changes to our UK operations as a result of the exit. I will now turn the call over to Robert Symons to provide an update on WPD's performance against our RIIO-ED1 incentive targets. Robert?
Robert A. Symons - PPL Corp.: Many thanks, Bill, and good morning. Leading to slide 6, March 31, 2017 marked the completion of second regulatory year under RIIO-ED1. And on the next two slides, I'll provide an update on our full-year performance on interruption incentive schemes and the broad measure of customer satisfaction. Let me start by saying WPD has had another successful year in achieving its outputs. We focused on delivering excellent customer service and once again have been ranked the top four Distribution Network Operators in customer satisfaction. We also continue to focus on restoring power promptly as interruptions occur. Clear management attention on supply restoration and commitment by staff at all levels has led to significant performance improvements. Network reliability is a high priority for WPD. Over the eight-year RIIO-ED1 period, we've committed to reducing the number of power cuts that customers experience by 16% compared to 2013-2014 levels, restoring supply 23% quicker when power cuts occur and ensuring that a minimum of 85% of customers have their power restored within an hour of an HV fault occurring. As a result of our efforts, our performance for the regulatory year 2016-2017 is estimated to result in $95 million of incentive revenues for the interruption incentive schemes and the broad measure of customer satisfaction, which is slightly better than the midpoint of our prior guidance. Now turning to slide 7, on this slide, you will find the detail of our full-year results against performance targets set by Ofgem. Our strong performance this year will result in receiving 82% of the maximum payout. This year, our operational efforts contributing to this success included: an unwavering staff effort at all levels on speedy supply restoration; a thorough inspection of maintenance work program; several major asset replacement projects; and increased investment in network automation and improved network sensing. As it relates to the broad measure of customer satisfaction, we're proud to have maintained our top four positions for customer service and stakeholder engagement, and we are committed to continuing this level of service over the course of RIIO-ED1. As shown back on slide 6, we've increased our calendar year 2018 incentive potential from between $80 million and $100 million to between $95 million and $105 million. This increase is driven by our 2016-2017 performance and now includes about $6 million for the Time to Connect incentive. The Time to Connect incentive is intended to encourage distribution network operators to reduce the overall time to connect smaller low-voltage connections to the network. These amounts are our internal estimates and to a final determination is received from Ofgem in November 2017. Overall, we have performed in line with our expectations. And as we begin the new regulatory year, we expect performance closely in line with the prior year and project $95 million to $115 million in calendar year 2019, with a similar expectation for 2020. Vince will now walk you through a more detailed look at segment earnings. Vince?
Vincent Sorgi - PPL Corp.: Thank you, Robert, and good morning, everyone. Let's move to slide 9 for a more detailed review of our first quarter earnings. First quarter earnings from ongoing operations decreased by $0.05 over the prior year, driven by lower earnings from the Pennsylvania Regulated segment of $0.02 and $0.02 from the Kentucky Regulated segment. Corporate and other was lower by $0.07, primarily due to the timing impact of recording annual estimated taxes. For those on the call that are well-versed in tax accounting, this is just the result of the quarterly APB 28 adjustment, which will reverse over the remainder of the year. These lower earnings were partially offset by an improvement in the UK Regulated segment of $0.06. Before I get into the segment details, let's briefly discuss the impact domestic weather had on our results compared to last year and compared to our plan. Compared to last year, mild temperatures during the first quarter of 2017 had an unfavorable $0.02 impact for our Kentucky segment, with heating degree days about 27% lower than normal in the quarter. The impacts of weather in Pennsylvania were relatively flat year-over-year. Compared to our plan, domestic weather had a negative $0.03 impact. Let's move to a more detailed review of the 2017 segment earnings drivers, starting with the Pennsylvania results on slide 10. Our Pennsylvania Regulated segment earned $0.12 per share in the first quarter of 2017, a $0.02 decrease compared to the same period a year ago. This result was due to higher operation and maintenance expense due primarily to timing and higher depreciation due to asset additions. Higher transmission margins from additional capital investments were offset by lower peak transmission system demand in 2017. However, transmission margins for the full year are still forecasted to be in line with our original expectations. Moving to slide 11, our Kentucky Regulated segment earned $0.14 per share in the first quarter of 2017, a $0.02 decrease compared to the first quarter of 2016. This decrease was due to lower gross margins as a result of lower sales volumes due to the unfavorable weather that I talked about earlier. Moving to slide 12, our UK Regulated segment earned $0.45 per share in 2017, a $0.06 improvement compared to a year ago. This was primarily due to higher gross margins, driven mostly by the April 1, 2016 price increase. In addition, lower results from lower foreign currency exchange rates in 2017 compared to 2016 were offset by a decrease in O&M, primarily from lower pension expense and the timing of network maintenance expense and lower income taxes as a result of pre-funding pension contributions into our various UK pension plans. Part of the reason for the pre-funding of the plans was to take advantage of tax deductions at the higher statutory rate of 20%, which was effective through March 31 versus 19%, which became effective April 1. These positive tax results enabled us to re-strike $0.04 of 2017 earnings in the first quarter, adding additional UK earnings hedges in 2019, without impacting the midpoint of our 2017 earnings guidance of $2.15 per share. Moving to slide 13, since our year-end call, we continued to layer on additional hedges. We are now contractually hedged 100% for 2017 at an average rate of $1.21 per pound, and we are 99% hedged toward 2018 and 2019 at average rates of $1.41 and $1.32 per pound, respectively. As a reminder, every penny in the FX rate above our budgeted rate of $1.30 represents about $0.01 in earnings per share. So just for 2018 and 2019, we have about $0.13 of additional hedge value above our budgeted rate. It's that additional hedge value that gives us so much confidence in our ability to meet our earnings guidance targets even though 2020 is still contractually unhedged. And just to reiterate what this bottom table shows, if we were to use all the additional hedge value, we could still achieve our minimum 5% growth rate through 2020 even if market rates drop to $1.05 for pound. However, at current exchange rates, we would not need to use all of this value to achieve our earnings growth targets. And, in fact, the EPS growth rate would be at the high end of our 5% to 6% growth range and the additional hedge value would be available for other purposes. The hedge program we've developed was designed to protect us against the downside risk of the pound losing value, but it also provides us with a lot of upside opportunity if the pound remains at current levels or even strengthens. Based on the current hedge levels, our view is that this risk reward proposition is now skewed much more to the upside than to the downside. Moving to slide 14, we've provided an illustration of the high, median and low currency forecasts from up to 17 financial institutions. These forecasts do not represent PPL's internal forecast or our planning assumption. But you can see from the chart, even the bearish view is around $1.40 per pound for 2020 and the bullish case is much higher. And as I said, to the extent exchange rates remain at current levels or move consistent with these estimates, the additional value created in our plan will not be needed in 2020; it could be used for a variety of purposes, including mitigating potential tax reform or hedging future years beyond 2020. And finally, turning to slide 15, we show our updated RPI forecasts. In recent months, we have seen RPI rates strengthen above our business plan assumptions. We believe RPI now represents some upside potential to the plan. But as you can see from the sensitivity table, it's not likely to be too significant. That concludes my prepared remarks. I'll turn the call back over to Bill for the question-and-answer period.
William H. Spence - PPL Corp.: Thank you, Vince. In closing, I'm confident in our ability to deliver on our commitments to customers and shareowners. And as I said in my opening remarks, we're very pleased with the strong start in the first quarter. As we look ahead, the state of our business is strong and our strategy for growth is clear: We will deliver industry-leading customer service and reliability, we will invest responsibly in a sustainable energy future, we will continue to execute on our infrastructure plans, we will maintain our strong financial position, and we will engage and develop our people. That's our focus each and every day as we work to provide safe, reliable and affordable service to our customers, while growing value for shareowners. Thank you for joining us on today's call. And with that, operator, let's open the call to questions, please.
Operator: We will now begin the question-and-answer session. The first question is from Greg Gordon at Evercore ISI.
Greg Gordon - Evercore ISI: Hey. Good morning.
William H. Spence - PPL Corp.: Good morning, Greg.
Greg Gordon - Evercore ISI: How are you guys doing? Good?
William H. Spence - PPL Corp.: Very good.
Greg Gordon - Evercore ISI: Busy morning. So I've got two quick questions. One, I know that you resolved in Kentucky then the (20:43) AMR rollout, but the capital expenditure budget looks like it hasn't changed. Is that because other things have moved into that slot or should we assume that we should make a modest negative adjustment there?
William H. Spence - PPL Corp.: Sure. I'll let Vince take that question.
Vincent Sorgi - PPL Corp.: Yeah. Greg, we're awaiting for formal approval from the Commission before we adjust the capital plan.
Greg Gordon - Evercore ISI: Okay.
Vincent Sorgi - PPL Corp.: So you can – yeah, you can adjust accordingly.
Greg Gordon - Evercore ISI: Okay.
Gregory N. Dudkin - PPL Electric Utilities Corporation: But we also should be mindful that as part of the settlement, we agreed to go into a collaborative. And so, it's likely that the result of that collaborative may be included in our next rate case. So maybe a delay in the funding as well. So until we get final determination from the commission and the outcome of the collaborative, I think it may just be a delay in the capital expenditures rather than complete elimination.
Greg Gordon - Evercore ISI: Okay. And a lot of distractions this morning, so I apologize. I wasn't 100% listening to your scripted remarks, but obviously the pound has definitely gone in your way. You talked about – I heard you talk about that and the way that you've hedged. You've indicated that you're pretty confident now that you could be at the high end of the earnings guidance range, but I eyeball those numbers, aren't there certain scenarios where you could even be modestly better than that?
William H. Spence - PPL Corp.: Sure. If the pound continues to strengthen or even stays at the current forward rates, we would probably be slightly above the 6%, which is the upper end of our guidance. And it really depends, Greg, on how we utilize the value that's sitting in 2018 and 2019 and whether we push that out further into the future years or we add it to kind of current years. But clearly, if we were to just maintain it in the current years and the pound stays where it is, we would be at or above the 6%.
Greg Gordon - Evercore ISI: That's great. Thanks, guys. Take care.
William H. Spence - PPL Corp.: You're welcome.
Operator: The next question is from Shar Pourreza at Guggenheim Partners.
Shahriar Pourreza - Guggenheim Partners: Good morning, guys.
William H. Spence - PPL Corp.: Good morning.
Shahriar Pourreza - Guggenheim Partners: So just real quick on WPD. It's obviously one of the best-in-class distribution businesses. I'm kind of curious on – if you could just discuss a little bit on how you didn't attain the top end of sort of the incentives and how you kind of maybe fell short. And when we're thinking about the forward look, are the benchmarks relatively high to achieve the top end? Or whatever you worked on a current year could be rectified where you could potentially hit the top end? I'm just kind of curious to see where that delta was.
William H. Spence - PPL Corp.: Sure, and I'll ask Robert to comment on that. But just as a reminder, even though we didn't hit the maximum rewards, we still came in above our projected amount, the estimated amount that we had in the business plan. So we're very pleased with the outcome, but I'll ask Robert to comment on what it would take to achieve the maximum rewards.
Robert A. Symons - PPL Corp.: Well, over the years, targets become more difficult. So if we look at South West and we look at Wales, regulators won't let customers pay for something that they've already got. So targets become more difficult over time. So I would say it was not possible to get to the maximum levels in South West and Wales because the target is very, very tough compared to perhaps some of the poorer-performing companies in the UK. In terms of Midlands and East Midlands, certainly within our grasp and certainly, we've achieved it this year. So dealing with, if you like, incentive revenues associated with reliability, we can make small improvements each year and keep pace with the increasingly more difficult targets as we work towards 2023. Broad measure survey, you asked what was the severity, what's the scores have you sort of going to get in order to, if you like, top of the table. Certainly, you got to be in the 9 out of 10 area in terms of how customers view you in order to achieve a top ranking. And we've managed to do that for the last five years and I see no reason why we won't do that for the rest of the period.
Vincent Sorgi - PPL Corp.: Yeah. Shar, this is Vince. Let me just add to Robert's comments. So in the first regulatory year, we obtained about 77% of the maximum incentive. In the second regulatory year, we've earned 82% of the maximum. So, while we don't think we can achieve 100% of those, clearly we're moving in the right direction in terms of the amount of those that we're collecting.
Shahriar Pourreza - Guggenheim Partners: Okay. Great. That's very helpful. And then just a follow-up question on the currency hedges. Can you just talk a little bit about how you're thinking about waiting and seeing the pound sort of recover or monetize in the money portion and roll it forward into 2020? So how should we think about the timing of that decision and what sort of is the timing and the inflection point of when you decide to roll or not?
William H. Spence - PPL Corp.: Sure. Well, as we've talked about before, we have a three-year kind of rolling-forward hedge program. And as we get into the midpoint of this year and the year-end, we would then look to layer on additional hedges for 2020. Again, we would probably look at where the pound sits at that time compared to our $1.30 planning assumption and either if the pound is above it, we'd probably be a little bit more aggressive with the hedging. If it's below and we'd see reasons for upside, we may delay a bit. But overall, I think it would be probably at the earliest, midpoint of this year, we'd start layering on anything for 2020.
Shahriar Pourreza - Guggenheim Partners: Got it. Thank you. And then just one last question, if I may, with more from a strategy standpoint and how you're thinking about the U.S. growth business with WPD's growth now kind of far exceeding the U.S. business. Can you just talk a little bit about the appetite to continue to see WPD become a larger piece of the business? Is there an appetite for that or are you looking at organic or acquisition opportunities to maintain sort of that current business mix?
William H. Spence - PPL Corp.: Yeah. Couple thoughts there. One is we are not looking at acquisition opportunities to maintain the mix or change the mix at all. I think we're happy with the organic growth opportunities we have in the U.S., and so we're focused on growing our U.S. businesses through deployment of capital. And as you're aware right now, we're essentially spending about $3 billion a year in capital. $2 billion of the $3 billion is in the U.S., and $1 billion in the UK. So over time, even though the UK EPS-wise is growing faster, we're deploying more rate base on the U.S. business side. Relative to other opportunities, we've obviously been very focused on making sure that we protect against the currency fluctuation. So that has been a major focus of making sure that we meet our 5% to 6% EPS growth. And as we indicated, we're very pleased with where we sit right now.
Shahriar Pourreza - Guggenheim Partners: That's it. Thanks, guys. Congrats.
William H. Spence - PPL Corp.: Thank you.
Operator: The next question is from Julien Dumoulin-Smith at UBS.
Julien Dumoulin-Smith - UBS Securities LLC: Hey, good morning.
William H. Spence - PPL Corp.: Good morning, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Hey. So I suppose I just want to be very clear about this. It seems that you have latitude given the FX and hedge position. To the extent to which the CapEx is being delayed, and I know you haven't formally effectuated that change yet, I suspect your comments about being at the top end of the range would still apply. Just an affirmation of that. And then, secondly, clearly you haven't delayed the CapEx yet. How are you thinking about and are there any levers that you can pull at this point on the capital side to replace that, maybe not necessarily in Kentucky, but in other jurisdictions?
William H. Spence - PPL Corp.: Sure. Well, first off, I would say we can still hit the top end even with some delay on the capital. The $300 million that we talked about is really in the grand scheme, not that meaningful to the EPS growth story. And as Vic commented, it's possible that that could come back in, albeit maybe on a delay. Well, once we get to the point where we know the outcome of that particular capital program, we'll look at other opportunities, whether it's in Kentucky or elsewhere, where we could see some potential future growth. So we'll wait and see, but as I said, I don't think that $300 million is really that meaningful to the growth story at all.
Julien Dumoulin-Smith - UBS Securities LLC: And actually, since you bring it up, what are those considerations that potentially bringing it back into the picture in a subsequent filing in short?
William H. Spence - PPL Corp.: Yeah. I'll let Vic comment on that.
Victor A. Staffieri - PPL Corp.: Hey, Julien. This is Vic. It was just the – there were 15 parties to the settlement negotiations and just some of the parties were concerned, they didn't understand the mechanics of the process. There is still some reluctance in Kentucky to move forward with smart meters and that we just couldn't resolve it into settlement fashion. So we decided to put it into collaborative and try to deal with some of those issues – privacy issues, access issues, when we turn people off – those kinds of things through automation. Those are the kinds of issues that were surrounding the discussions and based upon that, we just decided we'd get into a collaborative and pull it out in this proceeding.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. Excellent. Thank you.
William H. Spence - PPL Corp.: Okay. Thank you.
Operator: The next question is from Jonathan Arnold at Deutsche Bank.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Yeah. Good morning, guys.
William H. Spence - PPL Corp.: Good morning, Jon.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: I have one on Compass. I think you said that there was a review going on by the New York ISO and it was delayed a bit by Indian Point closure, but you thought that that review would be done by March. Is there any update there?
William H. Spence - PPL Corp.: Yeah, there is an update and I'll let Greg Dudkin take care of that.
Gregory N. Dudkin - PPL Electric Utilities Corporation: Thanks, Bill. Yeah. So the update is that we had filed a feasibility study with New York ISO and that's been completed and come back positive. The other study that we had that New York ISO do is quota carrier study, which is basically economic review, what's the economic impact of the project. We got the preliminary results back, they're confidential, but I would say they're very positive. So everything we've gotten back from New York ISO has been positive.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: So is that – you've said the estimated in-service is 2023 if the project was to move. What are the next steps and is that still the timeframe?
William H. Spence - PPL Corp.: Yeah. So the next steps are we are proceeding with the Article VII process. We will have to do a system reliability impact study. We've ticked that off. And then, we have to basically select an approval process whether it's a public policy project, which would have to be opened by New York ISO, or there's another separate process under CARIS, which is the economic project. So, we still feel confident with the 2021 to 2023 dates.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: When you say 2021, will that be in-service or start construction?
William H. Spence - PPL Corp.: Start construction.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. And then, if I could, just on the UK incentive slides, I was just looking at the column where you give the data for the performance levels you have to achieve to hit the maximum rewards, and they seem to have changed versus last quarter and in some cases, quite a lot. Is there anything – what would have caused the performance trigger levels to have changed?
Robert A. Symons - PPL Corp.: The performance levels that you see for maximum reward include planned outages as well as unplanned outages. I think the ones we gave you before, which are unplanned, but the actual performance is measured against unplanned outages and half the quantity of planned outages.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: There was a slight change in how you showed us the numbers.
Robert A. Symons - PPL Corp.: That's correct.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. That's all. Thank you.
William H. Spence - PPL Corp.: Okay. Thank you.
William H. Spence - PPL Corp.: And I think seeing no further questions in the queue, I want to thank everyone for joining us on today's call and we will talk to you on the second quarter earnings call. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.